Steven F. Rossi: [Audio Gap] Chief Financial Officer, Michael Johnston. This quarter represents another significant step forward in our growth story. We achieved record quarterly revenues, meaningfully expanded our gross margins and continue to build the operational commercial foundation that will carry us through the rest of 2025 and beyond. We will be reviewing the financial results for the quarter ended June 30, 2025, which were filed earlier today in our Form 10- Q and can be accessed in our Investor Relations website at investors.workport.com/#reports. At the end of today's call, both our prepared remarks and the accompanying presentation will be available for download. After these remarks, we will open the line up for questions from the attending analysts. So with that, let's begin. Safe harbor statements. During this call, we will make forward-looking statements, including statements regarding our financial outlook for the full year 2025 and 2026, our expectations regarding financial and business trends impacts from the macroeconomic environment, our market positions, opportunities, go-to-market initiatives, growth strategies and business aspirations; and product initiatives and the expected benefits of such initiatives. These statements are only predictions that are based on our current beliefs, expectations and assumptions. Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks and changes in our circumstances that may be difficult to predict and many of which are outside our control. Actual results or events may differ materially. Therefore, you should not rely on any of these forward-looking statements. These forward-looking statements are subject to risks and other factors that could affect our performance and financial results, which we will discuss in detail in our filings with SEC, including our annual report on Form 10-K and quarterly report on Form 10-Q and other SEC filings. The forward-looking statements made in this earnings call are made only as of today's date. Worksport assumes no obligation to update any forward-looking statements we may make on today's webinar. So with that, on today's call, we're going to cover: One, Q2 2025 performance highlights, financial and operational. Two, growth and market expansion, insights and updates, including dealer network, e-commerce, B2B and B2B initiatives. Three, innovation pipeline, progress on our HD3, the SOLIS, the COR and AetherLux. Four, we're going to cover current operations, production scaling, cost management and operational readiness. And on number 5, we're going to update our 2025 guidance, revenues, margins, cash flow targets and capital priorities. With that, let's move into the numbers. Mike will walk us through the Q2 2025 financial highlights.
Michael D. Johnston: Thanks, Steve. Q2 2025 was our highest revenue quarter in company history. Net sales reached $4.1 million, representing 114% year- over-year growth compared to $1.92 million in Q2 of 2024, and an 83% sequential increase from Q1 of 2025. This growth was driven by the continued ramp-up of our flagship AL4 premium tonneau cover, expanding dealer adoption and order frequency and sustained strength in e-commerce sales across our direct-to-consumer channels. Gross profit for the quarter rose 173% to $1.08 million, compared to $396,000 in Q1 of 2025. Gross margin improved 800 basis points to 26.4%, up from 17.7% in Q1 and 15.4% in Q2 of last year, marking our third consecutive quarter of margin expansion. This sustained improvement reflects continued operational efficiencies and a favorable mix of new B2B and B2C sales. Operating expenses were $4.7 million, up modestly from Q2 of 2024 is $4.21 million, but essentially flat compared to Q1's $4.65 million, despite significantly higher revenues. Within the operating expenses, sales and marketing increased to $1.31 million, supporting dealer growth and digital marketing campaigns. General and admin declined to $2.45 million from $2.99 million in Q1 2025, showing early results from cost discipline. We note this occurred while production went up nearly 100%, our belief is that the G&A of the company will not increase proportionately with exponential revenue growth. R&D was down $300,000, down significantly year-over-year due to prior year development peaks. Our operating loss improved to $3.62 million for Q1 versus $4.26 million in Q1 and $3.91 million in Q2 of last year. Net loss for Q2 narrowed to $3.73 million from $4.46 million in Q1 of 2025. We remain committed to achieving our near-term operational cash flow positivity. While the tonneau cover division is currently our sole revenue-generating unit, we believe it can sustain broader corporate structure, including R&D for COR and SOLIS, the AetherLux product line and general corporate expenses. This outlook is further supported by our expectation that COR and SOLIS will transition from R&D expenses to revenue-generating products later this year. Since we believe that general corporate expenses will not increase proportional of the business growth and profitability, a true path to cash flow positivity in the near term is possible. Cash and cash equivalents ended the quarter at $1.39 million compared to $5.08 million on March 31, 2025. However, at the end of Q2, $4.6 million was the available borrowing capacity on our credit facility. Operating cash usage in Q2 was approximately $3.1 million, a 19% improvement from Q1's $3.84 million of cash outflow. Accounts receivable increased in line with higher dealer sales volumes, while inventory remained stable at $5.8 million, approximately 90% in raw materials and 10% finished goods. In Q1, inventories stood at $5.7 million with a 60/40 split between raw materials and finished goods. The reduced finished goods share reflects demand consistently outpacing production. Later in this report, we will outline the steps being taken to expand production capacity to meet this growth. We're happy to share these steps have been successful thus far. Our inventory profile positions us to fulfill ongoing dealer and e-commerce demand without requiring significant near-term investment. Our long-term debt, excluding amounts repayable in the next 12 months, declined to $2.09 million compared to $4.78 million as of December 31, 2024, and $2.7 million as of March 31, 2025. A special note: On August 1, 2025, the company submitted a $3 million purchase order and placed a deposit with an established manufacturing equipment supplier for additional machinery, with delivery currently as early as Q1 2026 at the company's discretion. This occurred with extremely favorable financing terms with the manufacturer, is not expected to place a cash flow concern to the business. This additional equipment is expected to meaningfully increase production capacity at the company's West Seneca, New York manufacturing facility, enabling the company to meet anticipated customer demand more efficiently, improve operational throughput and support future revenue growth. However, management emphasizes that it expects that Worksport's current equipment and supply chain can allow the company to generate positive cash flows from operations. Now back to Steven for key insights on business operations.
Steven F. Rossi: Thanks, Mike. Beyond the financial numbers, Q2 marks the foundation of what we can expect for the year ahead. I'd like to highlight some of the key milestones we achieved that are setting the stage for our future. Our growth engine continues to accelerate across both B2B and B2C channels. Dealer network/B2B growth: In Q2, 2025, we added 2 national distributors to our dealer network. In April, we added Patriot Auto Group, which brought with them 200 dealers under the Worksport dealer network. In June, we added another national distributor with access to approximately an additional 250 dealer accounts. At full activation, Worksport estimates that our distribution network as of Q2 can support over $21.5 million in repeatable annual revenue alone, not including business-to-consumer direct sales via our online platforms, driven by ongoing B2B traction and demand for our premium American-made tonneau covers. Importantly, this figure reflects revenue potential at current dealer size, a number that management expects to grow meaningfully as dealer onboarding continues through the second half of this year, which is expected to bring significant demand with fall being among the busiest seasons for our product among customers. With more than 450 new accounts added year-to-date, up from 94 at the end of last year, Worksport's U.S. dealer network is expanding rapidly with new accounts joining weekly. E-commerce: Direct online sales via both our website, both via our own website, remain at a high -- remain a high-margin growth driver for -- and accounted for over 50% of total unit volumes in the quarter. Online sales continue to grow at rapid paces. From this e- commerce, and B2B growth, Worksport posted 3 months of consecutive record sales in Q2 2025. April, we did $1.2 million. May, we did $1.28 million. In June, we did $1.6 million. In June, we already had an internal run rate of $19.2 million. We expect the revenue increase will continue every quarter. Each month that gross margin improved. This is why we are extremely excited for Q3 and Q4. Notably, Black Friday and December holiday sales are expected to bring significant demand later on this year. Our strategy remains focused on giving local retailers and dealers the tools, margins and product quality that they need to succeed, creating a long-term mutually beneficial relationship that drives volume for Worksport. We mentioned previously, demand continues to outpace production. We are proud to report that our U.S. manufacturing facility here where I sit from in West Seneca continues to scale efficiently. We are targeting 200 units per day production by late Q3 compared to approximately 50 units a day at the start of this year. This quadrupling of daily throughput will drive significant fixed-cost absorption benefits and push gross margin towards our late 2025 target of 30% plus. Recruitment and training of our skilled assembly technicians have kept pace with our production ramp up, supported by the implementation of lean manufacturing practices to streamline workflows and reduce waste. In July of 2025, average daily production was approximately 115 units, climbing to around 130 units in the later half of the month. We also achieved a record single-day high output of 160 units, setting a strong foundation for Q3 and beyond of this year. Let's talk about the HD3. On track for Q3 of this year launch with production already scheduled, the HD3 is a heavy-duty tonneau cover designed for commercial and fleet applications. Building on the AL3, it features upgraded materials, seals and latching for maximum durability. While available through all channels, its primary focus is driving growth to our wholesale and B2B segments, adding new revenue streams and competing -- and completing our U.S.-made tonneau cover lineup. Let's talk a little bit about SOLIS. Beta testing has commenced with select customers for the SOLIS solar-integrated tonneau cover. The redesign announced later -- late in 2024 is delivering anticipated cost savings and expanding compatibility with third-party portable power systems. We remain on track for a Q4 launch. A little bit about COR. The COR portable power station is nearing mass production readiness. COR's modular design enables integration with SOLIS or stand-alone use targeting job site, overlanding and the emergency backup markets. The Worksport COR is projected to launch at the same time as the SOLIS cover. COR and SOLIS together function as Worksport's portable nano-grid. In Q2 of 2025, this system was selected by a multibillion-dollar U.S. construction agency for pilot project for fleet use. Testing and use is ongoing. Together, COR and SOLIS position Worksport within the fast-growing broader portable energy market, a space the company believes will be a key to long-term profitability. Talk a little bit about AetherLux. On February 11, 2025, we introduced AetherLux, a cold-climate heat pump featuring 2 industry- first innovations. First: ZeroFrost, no defrost cycles, continuous operation without the traditional defrost interruptions that reduces efficiency and freezing conditions and ultra-low temperature performance. The AetherLux operates in ambient temperatures as low as negative 59.6 degrees Fahrenheit, which is about 51-degree Celsius, far beyond the capabilities of typical commercial heat pumps, enabling its use in extreme arctic environments. Since the launch of AetherLux, we have attracted significant interest from major global corporations, federal governments and numerous distributors with inbound inquiries potentially surpassing hundreds of millions of dollars in potential revenue opportunities. In Q2, 2025, Terravis Energy, our subsidiary company had achieved numerous milestones on this disruptive technology. It has advanced AetherLux heat pumps from lab testing to commercial testing, initiated manufacturer selection for product certification, continued R&D optimization of ZeroFrost technology and began evaluating strategic business opportunities. Management believes AetherLux could have a meaningful impact on Worksport's 2026 balance sheet, supported by its position in the $123 billion global market. Intellectual property: Worksport holds a robust and growing portfolio of nearly 200 issues issued registered and pending patents designs and trademarks. We believe our intellectual property protects our innovations and branding, strengthening our competitive positions and helping us address potential challenges in the market. Tariffs: While our current revenue-generating tonneau cover line is manufactured within the U.S. with approximately 90% or more domestically sourced components, recent tariff-related pressures have contributed to a 5% or 10% inflationary increase in our cost, including Worksport's domestic material cost. To date, these increases have been offset by operational efficiencies that have lowered per-unit cost. Worksport's management team has outlined several alternative strategies as well to offset the effects of inflation as a result of tariffs and remain confident that these strategies will only prove to increase long-term profitability once domestic material price inflation eventually and inevitably subsides. For upcoming products, particularly those incorporating solar cells and lithium-ion batteries sourced international, the potential impact of tariffs remain less uncertain. However, we note that such products -- such cost pressures affect our competitors equally and, in some cases, more severely, especially where the reliance on global supply chains is greater than ours. Given the continued growth in healthy margins in our tonneau cover business, we are confident in our ability to manage tariff-related cost inflations while advancing towards near-term cash flow positivity and maintaining our 2026 profitability target. I'm going to pass it over to Mike with our updated financial -- fiscal year 2025 outlook and guidance.
Michael D. Johnston: Thanks, Steve. We reaffirm our full year 2025 gross revenue target of at least $20 million. Based on Q2 results and current order momentum, we remain confident in meeting this goal supported by continued dealer adoption, production growth and the successful launches of HD3, SOLIS and COR in the second half of the year. Gross margins have exceeded initial forecasts are expected to rise each quarter, reaching our 30% target by year-end. Operating expenses are projected to grow at a slower rate than revenues, enhancing operating leverage. Despite tariff-related headwinds, we are targeting operational cash flow breakeven by late Q4 2025 or early Q1 2026. While a successful launch of COR and SOLIS could accelerate profitability in 2026, we believe our core tonneau cover business alone can drive us into profitability next year. We view COR, SOLIS and AetherLux as significant profitability enhancers in 2026. Current expectations are $2 million to $3 million in revenue from the first batch of COR and SOLIS with AetherLux anticipated to deliver a meaningful positive impact to the 2026 balance sheet. More detailed projections will be provided in Q4 of this year. As of June 30, 2025, we had access to approximately $6 million in total liquidity, consisting of our $1.39 million in cash and cash equivalents, $4.76 million in unused capacity on our revolving credit facility. In addition, we hold $5.88 million in inventory, providing a strong foundation to support ongoing sales growth without significant near-term investment in working capital. Cash used in operating activities improved meaningfully in Q2 declined to approximately $3.1 million compared to $3.84 million in Q1. This 19% improvement reflects both higher gross profit and disciplined expense management. We expect further efficiencies in the second half of the year as production continues to scale. We expect to spend moderately in the second half of 2025. Key expenses will relate to the final tooling of the COR and SOLIS and increased production growth in the U.S. factored. Most of our required equipment for tonneau cover production is already in place, although management has invested in additional equipment for growth in 2026, with 0 interest payment terms offered by this vendor. This would allow Worksport to essentially double its production throughput without significant cash outlay or interest expenses in 2026. We also continue to make progress on Regulation A crowd funding offering, which has been highly successful in attracting new retail investors to the Worksport shareholder base. This offering has enhanced our shareholder base, increased trading liquidity and strengthened market visibility. We're announcing today that we expect to close this Reg A offering at the end of August 2025. If we achieve the full $10 million allotment, management believes the company will be fully funded for the remainder of 2025 and into 2026. While we consider opportunistic access to capital markets, our intent is to limit further notable equity dilution. We aim to leverage the company's existing outstanding warrants, which are exercisable in the $4.50 to $6.70 range, as a potential source of growth capital for 2026. This approach is aligned with our path forward towards cash flow positivity and eventual profitability. Management believes that as we execute in Q3 and Q4, the market will better recognize the company's intrinsic value, creating the potential for these warrants to be exercised in prices that benefit both shareholders and the company. Importantly, we believe that the successful execution of our operational and growth initiatives will enable the company to approach near profitability without requiring capital beyond the targeted $10 million from the current Regulation A offering. We further believe access to efficient debt tools will be available as we approach cash flow positivity. Finally, we would like to highlight that we review AetherLux, a proprietary cold-climate heat pump technology as a significant strategic asset whose value is not currently reflected in our share price. We believe that as the market gains greater awareness of its potential applications and commercial opportunities, this technology could represent a meaningful source of long-term shareholder value. Now back to Steve with our concluding remarks.
Steven F. Rossi: Thanks, Mike. Q2 of this year was a pivotal quarter for Worksport. In just one quarter, we increased revenue by 83% while improving gross profits by 173% compared to the prior quarter. We also decreased operational loss by 15%. We believe that in Q3, this growth in revenues and -- this will grow our revenues and decrease our operational loss. We're optimistic about cash flow positivity and profitable is flow within 2026. Our priorities for the remainder of 2025 are clear. First, we're going to scale production to meet demand while maintaining quality. Second, we're going to launch the HD3, SOLIS and COR successfully and on schedule. Third, we're going to continue to expand dealer relationships and deepen e-commerce reach. Fourth, we're going to continue innovation leadership in both automotive accessories and clean energy. Five, we're going to create increased brand awareness, utilizing key media and influencers. And six, we're going to execute with discipline towards cash flow positivity. I want to thank our employees, partners, leaders and shareholders for their continued support and commitment. We're building a company with the potential to lead at the intersection of automotive and clean energy and Q2 showed that our strategy is working. Thank you, everyone. This concludes our prepared remarks. Operator, please open the line for questions.
Unidentified Company Representative: [Operator Instructions] I see a hand up from Scott Buck. Go ahead Scott.
Scott Christian Buck: I guess my first question is on gross margin. Where are the incremental gains coming through the remainder of the year? Is that entirely volume-driven? And how should we think about volumes for some of the new products that you have coming out here in 3Q and 4Q?
Steven F. Rossi: All good questions. In terms of the new products volumes, are you looking like broad picture like SOLIS, COR, HD3 or specifically like just...
Scott Christian Buck: Exactly.
Steven F. Rossi: Okay. Okay. Sure. So gross margins -- so yes, obviously, we have -- I mean, I don't know why it's not more broadly broadcast yet, but we definitely have domestic inflation. So that's taking small bites out of our -- out of some of the gross margin. But what we're doing is we're offsetting it with operational efficiencies. So in essence, the human interaction or the human -- the hours per units required to make 50 tonneau covers or 100 tonneau covers a day is really what we see in some of the SG&A or overhead absorption side of things. So in essence, economies of scale, mostly through efficiencies and production is where we're going to see the most margin uptake. So to put it into dollars and cents, right now, we're somewhere between 3 to 5 hours of human interaction to make one of our tonneau covers. We should be able to get that down to 2 to 4. And when you look at the salary underlying the human element, that's a meaningful dollar savings per unit. But also just yesterday, we kicked off an optimization program for our more expensive materials, the aluminum sheet and aluminum extrusion. And on some particular tonneau cover models, we were able to see almost $20 in cost savings or elimination of scrap from the production or inefficiency in the production of that particular unit, some of our best-selling units. So the intersection of being smarter and how we make them and being faster on how we make our products, is really where we're going to see a significant amount of savings. So that's going to get us into that 30-plus percent while the inflation is kind of nipping on our heels. But I think that inflation -- it always tends to kind of go -- it's corrected. And when some of these raw material costs come down, I think that we're going to see a really strong positive from all this and margins will exceed what we were thinking. Does that answer the margin question?
Scott Christian Buck: Yes, it does, Thanks, Steve.
Steven F. Rossi: Sure. Okay. And then in terms of COR and SOLIS, so the HD3 will go into normal production. If our factory capacity ceiling this year is anticipated to be plus 200 units produced per day. The HD3 will fit into that somehow. So whether that's $200 million in a day once a week. We don't think it's going to be the biggest seller because it's going to be a new product. So it's going to take some time. But the HD3 will fall into production of our hard cover. So it will fit in the production scheduling of a ceiling of about 200 covers per day within September, October. And that could be a mix of AL3, HD3 or AL4. AL4, I think, is going to continue to be the #1 volumetric seller for us. But HD3 is going to pack a pretty powerful punch. When we go into SOLIS and COR, the SOLIS is going to be produced somewhere in the batches of 250 to 500. It's going to be a starting run. I think that it will have a ceiling of about 1,000 this year. And then the COR, we're planning on producing somewhere around 1,000 initial units, and we're going to plan on producing about 3,000 batteries, because we expect that consumers -- some of the most inventive parts of the COR is that consumers can buy more power to go do more before having to stop and charge. So -- for all intents and purposes, I think that the COR is going to be a big revenue driver, but then the battery uptake, I think, is going to be pretty exciting for us, too.
Scott Christian Buck: That's really helpful. COR and SOLIS, are there any sales in your current 25% guide? Or is that pure covers at this point?
Unidentified Company Representative: I think...
Steven F. Rossi: I think we have -- yes, go ahead, Faran.
Unidentified Company Representative: The $20 million projection as shown on this slide is made from tonneau covers. We say $20 million plus factoring in a $2 million to $3 million estimate for SOLIS and COR. With the changing tariff environment and volatility, we think it's safer to just keep the number at $20 million, and we look forward to updating investors in Q3 and Q4.
Scott Christian Buck: Okay. Perfect. And then on distribution, do your distributors buy and hold inventory? I just want to try to understand revenue cadence through the second half of the year, whether or not there are people buying inventory ahead of the 4Q holiday season, and we see someone out in Q3? Or just curious what the dynamics are there.
Steven F. Rossi: Yes. No, absolutely. A huge amount of it -- actually, we just -- it was funny, I was speaking to our shipping and receiving one of the clerks here this morning, and they were loading -- they're loading a full truck this morning, and they're -- it started with a skid to a distributor. Distributors will start with opening orders that are strong but modest. And now it's like full trucks. So distributors, our distribution, in fact, even our dealers are stocking significant volumes of our products. And as the product becomes more widely adopted and known, those volume orders continue to go up. So putting it tactically, it started as skids and now we're looking at trucks in terms of volume out...
Scott Christian Buck: That's great. That's great. And then one last one, if I can squeeze it in. On AetherLux heat pump, is the long-term intent to manufacture and sell under the Worksport brand? Or are there opportunities to potentially sell the technology or even license to other folks?
Steven F. Rossi: Oh boy, you're going to make me rosy-cheeked on that one. So the conversations we've -- when we launched SOLIS, the inbound interest from OEMs was fairly strong, and we were pretty proud of that. We had -- so we had fairly strong expectations of launching AetherLux in terms of inbound interest from small brands. The quality of inbound interest that we had relating to the AetherLux and looking at the technology were from, frankly, put some of the largest companies in the world. And when we speak to those companies, obviously, there's collaborative opportunities like, hey, can we make it with you. But then there's also the potential for these companies to have a position of acquisitions. We don't know, we can't forecast, but we'll -- management will always evaluate opportunities that are -- drive the most shareholder value and bring success. But one of the companies we spoke to does have a very strong track record of acquisitions and M&A. So we can't rule that out, but we're obviously going to do the best what serves work for the best.
Scott Christian Buck: Great. Well, I appreciate the added color guys. Congrats on all the progress.
Steven F. Rossi: Hi, Tate.
Tate H. Sullivan: Can you hear me okay?
Steven F. Rossi: Sure can, loud and clear.
Tate H. Sullivan: Thanks for the update. The units per day, you put in some metrics in terms of where you are in terms of production units. Can you talk about total units produced in 2Q or where you were at the end of 2Q in terms of units per day?
Steven F. Rossi: Faran, you just went through that with us this morning. Did you have those numbers for the month?
Unidentified Company Representative: We produced roughly 4,600, 4,700 units at the end of Q2. We note that in July, we produced 2,500 units in 1 month. So we do believe that the production from Q2 to Q3 will expand by another 50%.
Steven F. Rossi: That was 4,700 units for the month, right, Faran?
Unidentified Company Representative: 4,700 for the Q2 and then 2,500 for the month of July.
Tate H. Sullivan: Okay. And then can you -- on the Reg A offering, is it structured -- so it's structured as preferred equity, but then can you -- are the warrants attached, can you talk about the structure a bit, please?
Unidentified Company Representative: The Reg A offering is structured as a preferred share that's available and targeted to predominantly retail investors. The goal of the offering is to offer a preferred equity instrument that's designed for long-term investors that believe in the story. We incentivize investors to hold by offering them an 8% dividend attached to the preferred share and they get a warrant that's priced above the market at $4.50. We believe as the company executes that the warrant will be a powerful tool for potential upside and the dividend is a nice incentive to continue holding the stock. Now investors are able to convert the pref to a common share and have access to a really trading common via that, but they do give up on the dividend by doing so.
Tate H. Sullivan: Understood. And the increase in those shares outstanding from June 30 to mid-August, is that probably from some of those Reg A participants converting to common, is that fair?
Unidentified Company Representative: We've seen a mixture of conversions. We have seen a large number of investors that do continue to hold, and there are -- and there have been some larger investors that do convert.
Tate H. Sullivan: Okay. And Steven, on the heat pump opportunity, you noticed it's sort of implying that you could have meaningful revenue in '26. Is it a faster commercialization process for the heat pump than, let's say, SOLIS cover and COR? Can you talk about that, please?
Steven F. Rossi: Yes. It's our company's evolution in terms of how we bring things to market. We learned a lot of lessons from the COR. And we're applying all of the lessons we learned from the production of the COR like getting it this far, and it's taken quite some time. And I -- but we've taken everything we learned from getting the core to market, and we've applied it to AetherLux. So now we're a lot more lean and we're a lot more efficient and being able to get things to market. We understand testing. We understand rules, regulations. We understand design supply chain and production. Ultimately, the AetherLux, if Worksport was to produce it, which is the intention as of right now, we're able to -- it's not going to be Worksport, it will be Terravis that produces as subsidiary. It will be outsourced manufacturing, but we're a lot smarter and we've got a lot of deep connections in terms of, obviously, power electronics, sheet metals, all the parts that we need, most of the parts we need are -- we've established those relationships and we've learned a lot. So yes, to answer the question is we're just smarter.
Unidentified Company Representative: Steve, we do have some questions from retail investors attending the call. Notice to investors, I have answered some questions via chat, and we will answer some questions live here.
Steven F. Rossi: I could see them Faran. I could read some of them or if you want to read them, go ahead.
Unidentified Company Representative: Yes, sure. I'll read it. A question from Troy M. Analyst see a 240% upside from current price levels. What do you think investors are underestimating about Worksport's business model, scalability and/or clean energy positioning that could drive value further from where it is today?
Steven F. Rossi: So I think that predominantly Worksport displays itself like when you go -- when a new investor picks up on Worksport, they go to Worksport.com and they see tonneau covers. So I think that really deep diving into where we're going to be and where we started is where the -- maybe the loss in translation comes. I think that an investor that's looking at crypto opportunities or AI opportunities is looking for something exciting. I think energy is probably going to be -- well, if you look at crypto, the crypto is all about hashing and hashing is all powered through computers and computers are all powered with energy. So if you look at the base commonality, I think energy is going to be our future, and that's what we're betting big on with Worksport, but it's not clearly apparent when you visit Worksport.com without diving into our Investors section. So we're going to continue to improve our messaging, continue to court new investors. We're going to shift our Investor Relations focus to journalistic coverage and outreach so that we can have various high-visibility publications kind of summarize who we are a little bit easier for investors to understand. Today, we had a USA TODAY article, I believe, that came out that summarized the company very well. So I think that we're just augmenting how we present the company and driving that value proposition is that I think energy is going to be the biggest thing in the future of -- biggest economy in the future, and I think that will be a big part of it.
Unidentified Company Representative: Thanks, Steve, for that answer. We have another question regarding the rollout of higher-margin products like the AL4, SOLIS and COR. Could you walk us through how these innovations contribute to unit economics and margin expansion? Should we model the ramp-up later this year?
Steven F. Rossi: Yes. So AL4 was just launched earlier this year, and it's just getting into market now, and it's already exceeding our revenues. So it started as like 0, the AL4, and it's by far our highest margin product. So we started with nothing in terms of sales, and now it's actually outpacing all other sales we have, dollar for dollar on a day-to-day basis. So we're going to continue to focus on, obviously, the highest margin sales for us that will serve the company best. And then of course SOLIS and COR will start as a direct-to-consumer product, which will be fairly strong or enviable margins. So I think that we're going to continue to -- I think that it's difficult to explain it, but we're going to continue to focus on selling higher order value items. So our AL3 is what we started with, and it was a $700 price tag. The AL is a $1,100 price tag. The SOLIS is going to be closer to $2,000, and the COR with 2 batteries is going to be closer to over $2,000. So I think that we're going to sell a lot of items that have a higher order value. So that will represent very, very nicely in terms of our gross sales. But with the SOLIS and COR being high-margin direct-to-consumer primarily, we'll also represent ourselves in high profit. And there's 2 different types of ways of looking at profit. One of my mentors many, many, many years ago when I first started my business, said you can't take percentages to the bank. And what I understand by that statement is 30% of $1 is $0.30, and that's nothing. But when you start looking at high-margin percentages in terms of a $2,000 sale, the COR, for example, let's say it's 30%, 30% of $2,000 is rough math is $600. If we repeat those sales tens or hundreds of times a day, that's very meaningful for shareholders alike in Worksport. So if that answers the question, we're going to be focused on higher order values at high margins, which are going to be highly beneficial and it's not yet realized in the balance sheet.
Unidentified Company Representative: Thank you, Steve. We have a question regarding the quality of the solar cells panels. An investor has personally purchased solar cells and panels from different popular brands and has found quality concerns. Their question is, where are we producing our units to ensure that our finished product is dependable and high quality?
Steven F. Rossi: So it's a trade seeker on where we get our panels. We went through somewhere -- I'm going to estimate, but I think it was around between 25 to 50 different solar manufacturers across the world from wafer cells to panel assemblies. So solar panels are made from wafers or cells individually and the cells usually come from like SunPower or other manufacturers around the world. So it's getting the best out there. What we've settled on, it's a trade secret in terms of who the manufacturer is and where they're coming from. Unfortunately, we looked at a lot of U.S.-based cell manufacturers and panel manufacturers, and they just didn't pass our testing. So the panels are coming from the east side of the world, not China. But the panels that we're using are also used on various space stations. So NASA agrees that these cells are -- these panels and cells are the best out there. So there's no better quality than the panels and cells we're using when they're used also again on some of the space stations out there. And we're highly selective. And that's -- for taking SOLIS to market. That was probably the biggest time delay for us is finding the best solar cell and panel manufacturers.
Unidentified Company Representative: Thank you, Steve. We had a question about battery chemistry of COR. At the current moment, the battery chemistry is a trade secret. We will reveal the specs of the unit as the unit comes closer to launch later this year. We had a question about government contracts for any of our products, specifically the hard covers, the heat pump or the SOLIS and COR?
Steven F. Rossi: So yes, obviously, government and OEM contracts are always something that I think will come to us naturally. So we've done business with government entities, and we're well connected within various government agencies through our Boards of Directors and through just our business connections. So we'll continue to work with various federal and local agencies, OEMs, which wasn't part of the question, but they're always correlated. We'll obviously keep those conversations coming. We got to do what's best for Worksport in terms of working with companies that will give us revenues, but of course, at margins that we need. So government contracts are -- we've sold our hard covers to government agencies, yes. Do we have contracts? Not necessarily contracts, but open kind of order relationships. SOLIS have gone to various private businesses that are fairly large. COR, we're not there yet, but we're going to get there pretty soon. In the heat pump, we're not there yet either, but it's all a work in progress.
Unidentified Company Representative: And I will add that, Michael, the heat pump product has the largest potential for government contracts, and we did press release about 2 weeks ago that we were in discussions with some governments about that technology. A question from James C. With all the good news today, could you comment on the stock price and recent actions?
Steven F. Rossi: It's very difficult. We've seen similar volatility in our stock during previous earnings releases, I think the last 3 or 4 or at least the quarters of this year. We have no idea. A lot of times when our stock is volatile, we're busy in meetings and on the production floor working, we're not behind a trading desk or doing anything. So it's -- the secondary market for shares in a company, which is what NASDAQ and ICE in essence is in brokers, is really up to investors and traders and stuff like that and how they trade and what shorting or whatever may happen is the least in control of the company. So all we're focused on is putting more products in boxes and getting those boxes out the door. In terms of volatility in the stock price, that's up to the traders. And we have no real control. All we could do is continue to execute on the business side. But yes, we're -- the company is net assets are worth a significant amount plus patents plus intrinsic growth and value. So there's a strong upside here. But when stocks go down, it just -- it's because of, I guess, traders or the open market.
Unidentified Company Representative: And James, the only thing we'll add also to the question about stock price, stock price volatility is going forward, the company does believe that the warrant that are in play between $4.50 to $6.70 may come to fruition. And that means that we believe that the company's stock price is not matched to where we see the intrinsic value of the company. We think that our assets for growth, our margins improvement, intellectual property is undervalued. And we believe that as Q3, Q4, AetherLux, COR and SOLIS come out, the stock's overlying -- underlying health will be better reflected into its pricing. Next question, and I'm going to take 2 more questions, Steve here. The first question is what is your plan to increase analyst coverage of the stock?
Steven F. Rossi: So earned coverage is important. There's a lot of paid research out there, which we try to avoid. Although there are very good firms, I think that our dollars should go into selling more, making more versus some of the analyst coverage. So we're going to continue to work with some of the analysts that are well known and repeatable to cover the story earned, but that's an iterative process, meeting various research firms and speaking to analysts is a very -- it's a relationship that needs to be built and it has to be trusted and the analyst has to believe that the company is worthwhile. So we're going to continue to meet new research partners and continue to try to find organic coverage, but it's just -- it's going to take time like all the other things that we do.
Unidentified Company Representative: Thanks, Steven. And last question for today. When exactly is the first SOLIS/core sets expected to be shipped? What stage are we on? What else is left to do before we hit the market?
Steven F. Rossi: Yes. Good question. So SOLIS, we made a handful and we sold them. So the beta program, alpha was like internal testing that was done. That's where we redesigned it and made some changes. Beta testing is when we actually sold units to select users. We've had really good feedback. One -- I just found out this morning that one guy was able to put a good amount of miles recharged from his SOLIS into his truck with a Level 1 charger connected to the COR. That was really cool to hear. So betas, we had some revenues from it, and then now that goes to full release. So full release, we've ordered solar panels to be manufactured. We're going to be making, I think, somewhere around 200, but we're probably going to up that closer to 500 units. And that should be sometime -- the panels have to be made and shipped and then we have everything else to make the covers here at this factory that I'm in today at our factory. So that should be within the second half of this year, where it is, is anyone's guess, but I would expect in Q4 probably, like maybe October, November. But that's the SOLIS. The COR UL certification, there was 10 tests. We passed 9 of them. We're on the last test now. And once we pass that test, we can go into and get UL certification, and we can go into production. So we have -- we're 90% of the way there in terms of UL. Once we pass UL, we can go into production. And again, it's production. We've got most of the components ready. It's getting into production of the first 1,000 units and then stocking them. So that should all happen within this year. If there's any challenges, it might be geopolitical issues, which I doubt, but more maybe relating to the testing process and time it takes to get. UL certification is the most prestigious certification. So it does take time.
Unidentified Company Representative: Thank you very much, Steve. And Mike, Scott and Kate, thank you for attending us as analysts. And we'd like to thank all our investors today for their time and attention. This marks the end of the Q2 2025 call. Have a great day.
Steven F. Rossi: Thank you, everyone.